Operator: Good morning, ladies and gentlemen, and welcome to the Tecan Half Year Results 2025 Conference Call and Live Webcast. My name is Josef, the Chorus Call operator. [Operator Instructions] This conference is being recorded. [Operator Instructions] This conference must not be recorded for publication or for broadcast. At this time, it's my pleasure to hand over to Martin Brandle, Senior Vice President, Corporate Communications and Investor Relations. Please go ahead.
Martin Brandle: Thank you, and good morning, everyone. Thank you for joining our conference call this morning. We are pleased to share and discuss our results for the first half of 2025 with you. Joining me on the call today are our Chief Executive Officer, Monica Manotas; and our Chief Financial Officer, Tania Micki. Before we begin, let me quickly cover a few formalities. The press release announcing our financial results was issued this morning at 6:00 a.m. Central European Summer Time. Both the press release and the 2025 interim report are available on our website, tecan.com, under the Investor Relations section. I'd also like to remind you that this call is being webcast live on our homepage, and the PDF of the presentation slides, we'll be discussing, is available for download as well. Let's take a quick look at today's agenda. First, Monica will provide a brief introduction and discuss key market trends and their impact on our 2 business segments. She'll then share some background on our operating highlights for the first half of the year. After that, Tania will provide insights into the H1 financials. Monica will then conclude with the outlook and key messages before we open up for Q&A. With that, I'll now hand the call over to our CEO, Monica Manotas. Monica?
Monica Manotas: Thank you, Martin. Good morning, everyone. Thank you for joining us today. I am glad to have the opportunity to speak with you. I appreciate your interest in Tecan and look forward to our discussion. Before we move into the results, I'd like to start by saying I am honored to serve as CEO of Tecan. As you all know, I was appointed CEO effective August 1, after serving on Tecan's Board of Directors for about a year and spending over 20 years in the life science tools industry. His experience has given me valuable strategic and cultural insights, and I'm committed to leveraging it to ensure Tecan's success. I would like to thank Achim von Leoprechting for his outstanding leadership and for ensuring a smooth transition and handover process. His support and openness have been invaluable as I've stepped into the role. Tecan's strategic direction remains unchanged with a continued focus on innovation and profitable growth. In the coming weeks and months, I will take the time to connect with our employees, our customers and investors around the world in order to gain a comprehensive view of all aspects of the business. I've already started this, this past week. Now based on these insights, I will evaluate where we can reinforce what's already working well and where targeted adjustments may be required to position Tecan even more strongly for the future. Our key priority in the short term is to accelerate Tecan's return to sustainable growth, building on our strong foundation of innovation, operational resilience and close customer relationships. I look forward to shaping the next phase of Tecan's journey together with our talented team. Let me now turn to our results. I'll do a brief recap of the numbers we've reported, and then Tania will provide additional color in her section. We delivered CHF 439 million of revenue in H1, resulting in an adjusted EBITDA of CHF 65.7 million and an adjusted EBITDA margin of 15%. These results were in line with expectations. Now let me give you my perspective of the market environment that we operated in, in the first half and how that reflected on our results. So starting with the broader market developments on the left-hand side of the slide. In Pharma, overall spending remains conservative, but we continue to see projects moving forward in predefined growth areas. Clinical diagnostics remains a bright spot with very solid broad-based demand and continued growth in testing labs. In Academia and Government, NIH funding remained a key topic, driving uncertainty in the U.S., but we also saw weakness in China. And a general comment on China. There, we saw overall demand remaining subdued, and we continue to see delays in government tenders. Now looking at Tecan's performance in this environment on the right-hand side. In the Life Sciences business, we saw a return to growth in local currencies, mainly driven by strong uptake in consumables, particularly in genomic testing labs. Although certain instruments performed well, overall instrument sales were down mid-single digits, reflecting the cautious environment in pharma and ongoing funding challenges in academia and government. Now having said that, overall sales in Pharma and the Life Sciences business was stable in H1, which was better than expected. In China, sales declined as expected, even though we recorded moderate stimulus-related revenues. We also have several Tecan lab project opportunities in the government sector pending budget approval, which should provide support in the second half of the year. In the Partnering Business, we saw 7% lower growth as anticipated. We achieved solid sales growth in Synergence in vitro diagnostic systems. Cavro saw substantial order entry growth in Q2, although sales are still impacted by lower demand for life science instruments, especially in China. And the Paramit line declined as expected, but we saw positive order growth in Q2, which is encouraging for our full year outlook. In summary, while the market environment remains challenging in some areas, we are encouraged by the resilience and growth in key segments such as clinical diagnostics and by the positive momentum in order entry, particularly in our Partnering Business. We continue to focus on supporting our customers, driving innovation and positioning Tecan to capture opportunities as market conditions evolve. Let me now highlight some of the key operational achievements in the first half of 2025, which reflect our ongoing focus on resilience, innovation and strategic partnerships. First, on operational resilience. We realized tangible benefits from our comprehensive cost reduction program and site consolidation. An example of that was in the Cavro business, where we streamlined R&D and product management by consolidating 2 sites, which allowed us to better leverage our existing expertise and infrastructure. We also continue to make progress in optimizing our supply chain and increasing our vertical integration, further enhancing our ability to manage costs. Turning to innovation, we continue to invest in and deliver key product launches. The commercial ramp-up of our multi-omics Veya workstation is well underway, and we're seeing strong customer interest with the first orders already booked in Q2. We also introduced the Duo Digital Dispenser in collaboration with HP, which combines single-cell and reagent dispensing in one system. And we launched FlowPilot software to support robotic arm-centered workflows. These innovations are helping our customers address increasingly complex laboratory needs. And finally, on partnerships in our Partnering Business. We entered into a new collaboration with a MedTech company with production transfers to our site in Penang, Malaysia now underway. We also secured a major manufacturing contract for a diagnostic system with production ramp-up progressing as planned. And in addition, we supported the launch of next-generation diagnostic instruments with a key Synergence partner, addressing new market segments and significantly expanding the addressable market for this system. These achievements demonstrate our commitment to operational excellence, ongoing innovation and building strong long-term partnerships that position Tecan for future growth. Now let me turn the call over to Tania.
Tania Micki: Thank you, Monica, and good morning to everyone from my side as well. I will now provide a detailed overview of our financial results for the first half of 2025. Let me start with order entry and sales. Order entry for the first 6 months came in at CHF 458.3 million, which is down 2.9% year-on-year or 0.7% in local currencies. Importantly, we saw a sequential improvement in the second quarter with order entry growing at a mid-single-digit rate in local currencies after a mid-single-digit decline in the first quarter. As a result, orders exceeded sales in the first half and our book-to-bill ratio moved back above 1. Looking at sales and as expected, revenue for the first half of 2025 was CHF 439.5 million, down 5.9% in Swiss francs and 3.7% in local currencies. Here as well, we saw sequential improvement. Sales in local currencies improved from a mid-single-digit decline in Q1 to a low single-digit decline in Q2. Looking at the segments, the Life Sciences business returned to growth in the first half, while the Partnering Business saw a decrease as anticipated. I'll now turn to the segment performance for a closer look at the underlying trends. Let's take a closer look at the segment performance, starting with the Life Sciences business. Sales in the Life Sciences business were CHF 185.7 million compared to CHF 187.5 million in the first half of last year. That's a decrease of 1% in Swiss francs, but actually an increase of 1.6% in local currencies. We saw sequential improvement in the segment with Q2 sales up in the low single-digit range in local currencies versus the prior year quarter after a Q1 that was just slightly below last year's level. Growth in clinical diagnostics, especially in genomic testing labs and the recovery in consumable sales continued to support the segment's performance in the first half. Recurring sales of services, consumables and reagents made up 62.1% of segment sales in the first half, up from 59.4% a year ago. Order development in the Life Sciences business also improved sequentially with mid-single-digit growth in local currencies in Q2 compared to a mid-single-digit decline in Q1. As a result, the book-to-bill ratio was above 1 for the first half. Turning now to the Partnering Business. Sales came in at CHF 253.8 million, down 9.2% in Swiss francs and 7.1% in local currencies, which was in line with our expectations. Within this segment, sales of in-vitro diagnostic systems in the Synergence product line showed very solid growth with momentum accelerating further in the second quarter. Cavro OEM components saw a decline driven by continued weak China demand and further inventory reduction of customers in the life science and diagnostic sectors before they start ordering again. However, we did see signs of improvement with substantial order entry growth during the period. As expected, sales in the Paramit product line declined somewhat more than the overall segment, but we recorded positive order growth in Q2. Order development in the Partnering Business turned positive in the second quarter with mid-single-digit growth in local currencies. The book-to-bill ratio was also above 1 for the first half, reflecting healthy demand and a solid order pipeline for the segment. Let's now move on to gross profit for the first half of 2025. Gross profit reached CHF 159.3 million, which is CHF 1.5 million below the first half of last year. However, our reported gross profit margin improved by 180 basis points to 36.2%. There were several key factors behind this margin improvement. On the positive side, we benefited from a more favorable product mix, price increases and ongoing efficiency and cost improvements. These gains more than offset the negative effects from lower sales volumes, adverse exchange rate movements and the impact of tariffs. Overall, the improvement in gross margin reflects our continued focus on pricing discipline and operational efficiency amid a challenging market environment. Let's now take a closer look at our cost structure for the first half of 2025. Operating expenses, excluding cost of sales, increased by CHF 1 million. This increase was driven by higher exceptional costs, but on a like-for-like basis, operating expenses were down about 5% year-on-year. Sales and marketing expenses decreased mainly due to lower performance-based compensation, while we maintained our readiness to capitalize on market recovery. In research and development, we continue to invest strongly in innovation. R&D expenses were slightly below the prior year when excluding restructuring costs, reflecting our ongoing commitment to new product development. General and administrative expenses increased primarily due to exceptional IT costs related to the S/4HANA implementation, relocation activities and legal fees. However, it's important to note that our underlying G&A costs decreased, thanks to the cost savings measures we have implemented. Overall, these results reflect our strategic focus on optimizing our cost structure, while continuing to invest in key areas that will drive future growth. Let's now move on to EBITDA for the first half of 2025. Adjusted EBITDA came in at CHF 65.7 million, which is CHF 2.2 million below the first half of last year. Despite the lower sales volume, our adjusted EBITDA margin improved by 50 basis points, reaching 15% compared to 14.5% a year ago. Margin improvement was driven by a higher gross profit margin, effective cost control and ongoing optimization of our global operating footprint. The positive effects more than offset the impact of lower sales volumes and a negative currency effect of 40 basis points. Profitability in the first half was supported by our comprehensive cost reduction program and continued efficiency gains across the organization. Look at reported EBITDA, we reached CHF 54.9 million in the first half compared to CHF 59.9 million in the prior year period. This corresponds to reported margins of 12.5% this year versus 12.8% last year. Let's now look at profitability at the segment level, starting with the Life Sciences business. Reported operating profit or EBIT for the segment was CHF 9.6 million with a margin of 5.1% compared to 6.6% last year. Adjusted EBITDA margin for the segment was 14% of sales in the first half, which was down from 15.2% a year ago, mainly due to currency headwinds and the impact of tariffs. Extraordinary costs also played a role. On the positive side, price increases and disciplined cost control helped to partially offset this negative effect. Turning to the Partnering Business. Here, we saw an improvement in profitability. Reported operating profit for the segment was CHF 21.1 million with a margin of 8.3%, up from 8% last year. Adjusted EBITDA margin increased to 18.4% of sales, up from 15.9% in the prior year period. This improvement was driven by a more favorable product mix, ongoing optimization of our global operating footprint and continued cost control. These positive effects more than offset the impact of lower sales volumes and the resulting negative economies of scale. Moving on to net earnings and earnings per share. Adjusted net profit for the first half was CHF 33.7 million, which is CHF 2.8 million below the prior year period. Adjusted earnings per share came in at CHF 2.66, down from CHF 2.86 a year ago. The decrease was in line with the development of adjusted net profit and the average number of shares outstanding was 12.7 million compared to 12.8 million last year. Reported net profit was CHF 17.9 million compared to CHF 22.5 million in the first half of 2024. Basic earnings per share were CHF 1.41, down from CHF 1.76. Beyond the lower operating profit, net profit was further weighed down by a reduced financial results. While we did record hedging gains, these were more than offset by negative translational differences from currency movements, particularly the translation of U.S. dollar-denominated assets into Swiss francs. In addition, the effective tax rate increased to 22.5% from 20.5% last year, mainly due to a constant noncash amortization in connection with the Swiss tax reform, which had a greater impact on lower profit. Let's take a closer look at cash flow. Cash flow from operating activities was strong in the first half, reaching CHF 60 million, up from CHF 43.4 million in the prior year period. Cash conversion increased significantly to 109.2% of reported EBITDA compared to 72.5% a year ago. The increase was mainly driven by lower inventories, lower accruals and provisions, and we also saw days sales outstanding improved to 45 days, down from 51 days last year. Amortization and depreciation for the period totaled CHF 31.8 million. On the investment side, total investments were CHF 101.8 million compared to CHF 13 million in the first half of last year. This includes CHF 8 million in newly capitalized development costs, CHF 5 million in property, plant and equipment and other intangibles and the positive contribution of CHF 112.2 million from the repayment of time deposits. We also recorded CHF 2.6 million in income from financial assets. Cash flow from financing activities included CHF 38 million in dividend payments, CHF 8.6 million for the purchase of treasury shares and CHF 8.1 million in lease liabilities. As a result of solid cash flow management, our net liquidity position stood at CHF 140.3 million at the end of June compared to CHF 87.6 million a year ago and CHF 153.7 million at the end of December. I'm also pleased to share that today, we announced the launch of a share buyback program. This initiative reflects our confidence in Tecan's long-term growth prospects and strong financial position, while returning value to our shareholders and supporting our strategic growth ambition. Under this program, we plan to repurchase registered shares with a value of up to CHF 120 million via the ordinary trading line of the SIX Swiss Exchange. Based on the closing price as of August 8, this corresponds to a maximum of 770,218 registered shares or about 6% of our current share capital. The repurchase shares will be used for general business purpose, including treasury purposes and the financing of potential acquisitions. Importantly, the buyback will not impact our ability to invest in organic growth or pursue M&A opportunities. We remain fully committed to investing in the growth of the business and to M&A, as the primary focus of our capital deployment strategy, while maintaining our strong investment-grade rating. The buyback is expected to commence tomorrow on August 13. With this, I hand back over to Monica.
Monica Manotas: Thank you, Tania. Let me now turn to our outlook for 2025, starting with sales. Based on our business performance in the first half and our current assumptions for the rest of the year, we're confirming our full year sales outlook. The key assumptions underlying our 2025 guidance remain largely unchanged from those communicated in March. We continue to expect sales in local currencies to be within a range from a low single-digit percentage decline to a low single-digit percentage growth for the full year. We have planned for a range of outcomes, reflecting the ongoing uncertainties in several key markets. These include the funding environment for the U.S. academic and government accounts, the pace of recovery in China, biopharma investment cycles and the developments with our largest partnering business customers. The scenarios we outlined in March remain valid and the main drivers and risks are largely unchanged. We also reiterate our forecast for an adjusted EBITDA margin of 17.5% to 18.5% of sales for full year 2025 based on a like-for-like comparison with the original outlook and the exchange rates assumed at that time. This outlook does not include any impact from U.S. government tariffs. Now should the higher reciprocal tariff levels announced at the end of July, which came into effect on August 7, remain in effect through year-end and no more favorable trade agreements be reached, the estimated gross impact on EBITDA for 2025 would be in the low teens of millions of Swiss francs. We have already initiated a number of mitigation measures, which are expected to help reduce the annualized negative impact by an amount in the low to mid-single-digit million Swiss franc range. For example, we ship some inventory such as consumables and instruments ahead of the effective date. We're also ensuring that purchase orders clearly specify the country of origin for certain modules and third-party devices so we can benefit from lower tariff rates where applicable. In addition, we continue to identify and implement further actions to minimize the net effect. For example, we will implement selective price increases to offset higher costs, while remaining mindful of our customer relationships and market competitiveness. We're also accelerating local manufacturing of consumables in our existing U.S. production lines. In this context, we are revisiting our sourcing strategy for components, and we'll be working closely with our suppliers to explore ways they can help us further reduce the impact. In addition, as part of our focus on operational resilience, we continuously evaluate how to further adapt and flexibly utilize our existing capacities, including those in California and Malaysia, Austria and Switzerland, just to best respond to changing conditions such as the current U.S. tariffs. Our profitability outlook is supported by disciplined cost management, a comprehensive cost reduction program and a continued focus on realizing cost synergies. Let me close with a few key takeaways. Tecan is well positioned to benefit from global health care trends with our synergistic Life Sciences and Partnering businesses providing a strong foundation. In the short term, my priority is to accelerate Tecan's return to sustainable growth. Overall, our strong positioning and strategy underpin my confidence in achieving our midterm growth outlook. With that, I'd like to hand back over to Martin before we start the Q&A session.
Martin Brandle: Thank you, Monica. And before we start Q&A, [Operator Instructions]. Monica will be happy to take questions on the company's general direction and strategy, while Tania will address the detailed financial questions. In the coming weeks, Monica will first be focusing on the business and deepening her understanding of Tecan's operations by visiting our various sites and engaging directly with employees, partners and customers. Starting in October, she looks forward to meeting with the financial community as part of her introduction roadshow. With that now, operator, please open the line for the first question.
Operator: [Operator Instructions] Our first question comes from Pataki, Maja from Kepler Cheuvreux.
Maja Pataki: I'd like to start with the strategic question first. I understand that we're not in a situation where we can really have a clear view on what happens from a tariff perspective. And thank you very much for providing the financial details. But if we think beyond 2025, and we assume that there will be any kind of tariff, we can set it at 15% or 20%. I mean, how do we think about the business? Because one thing is that you can increase prices. The other thing is that your customers might renegotiate with you some prices. So it'd be really great if you could talk us about the different kind of layers of things that potentially could happen. And I fully understand that you don't know what's going to happen, nobody does, but we might not even be able to think about what would be in the cards.
Monica Manotas: Maja, thank you for the question. So maybe I'll just start with a general comment, and Tania can add some specifics there. But I'd say, generally speaking, you're absolutely right, and that's actually how we are thinking about this. There will be an aspect here where we need to consider pricing. But I think more importantly, for us, what I see is a huge opportunity to really take advantage of the flexibility that we now have in our operational structure because we do have capacity to do some more kind of parts of the supply chain within the U.S., you're thinking specifically the situation with the tariffs going into the U.S. And that doesn't look exactly the same for the different parts of the business. Typically, for us, when you think about -- and this is a general comment, when you think about the instrumentation supply chain, you typically want to see something a little bit more centralized. And there, perhaps we have more opportunity to leverage more our capabilities in Malaysia. Whereas when you're thinking about consumables there, you're moving air, so it makes more sense to be closer to the customer. So in that example, we will be leveraging much more the capabilities that we have of producing in the U.S., specifically. So I think what I see is an opportunity here because we already have that flexibility to just continue to look at the supply chain and create the optimal situation for our customers, not just in the U.S. but in the rest of the world.
Tania Micki: Maybe I can add, Maja, some of the points also to Monica's answer. I mean, from a short-term actions, we also do have some. We are looking at -- for example, we have increased inventory in the U.S. beforehand. We are also looking at how can we unbundle on the purchase order, some of the elements which are not coming from Switzerland. And we are, of course, looking also at how to structure the [indiscernible] perspective as well. So there are short-term things that we are doing. And longer term, as Monica said, we are looking also at how do we improve our manufacturing footprint from, also bringing to the customers what they need.
Maja Pataki: Okay. And then just a financial question. I appreciate that you are providing or that you're reiterating the EBITDA margin outlook based on the assumptions from March. You've provided quite some details on what to expect from the tariff side. But could you, Tania, please provide us an impact of FX. Should FX rates stay where they are today, what kind of FX impact would you anticipate on the EBITDA margin or on EBIT, if that's easier for that matter? And what kind of costs or net financials would you expect to see?
Tania Micki: If you -- I mean, the exchange rate, as you know, was around 0.79%, 0.8% end of June. If that stays like this until the end of the year, then you will have a further decline of the U.S. dollar rate to the Swiss francs. And then the impact from the FX will be between 80 basis points up to 1 percentage point. And from the financial impact, I would say it's more or less similar to what you're seeing now because we have this negative translation effect that offsets the hedging -- the positive hedging that we have.
Operator: The next question comes from Noor, Aisyah, Morgan Stanley.
Aisyah Noor: My first one is on the order growth, which you mentioned turned positive into the mid-single digits in the second quarter. Are you aware of any pull-forward effects on this demand that might be due to kind of stockpiling ahead of tariffs? That's my first question.
Monica Manotas: The question is if we saw pull-forward demand that you think drove the growth in Q2 bookings?
Tania Micki: No, no, we did not. No, no. This was a normal order entry. If anything, we had maybe 1 or 2 orders slipping out, but in line with what we normally -- normal business.
Aisyah Noor: Okay. And then my second question is on China. So you called out moderate stimulus-related revenues in the first half. Can you just talk a little bit about what those stimulus funds are for? What your visibility on them is and how well you can extrapolate the stimulus benefits into the second half?
Monica Manotas: Maybe I'll make a general comment from a China perspective, and Tania can add the specific details there. I'd say that what we saw in terms of stimulus was quite moderate. I think we're seeing a situation where the demand is stabilizing, but stabilizing at a lower point. So things are evolving as we planned. We did see a decline, but it's exactly at the level that we declined, and we are expecting that the second half will probably come in at a similar level, and it will play out to be closer to more of a flat situation in China right now. I do think that there is opportunity for us. We are, particularly in the Life Science side, very focused in the academic segment. And there, we see where our customers are working with their government to get grants and all of that, but we also see that in the areas where we've made investments to create a more local position for our product portfolio, that is working, and we're seeing pockets of growth. So for me, it will be really about leveraging those pieces that are growing to have a better position in China going forward. I still believe it's an opportunity for us.
Tania Micki: And for more specific number, we recorded about CHF 2 million of stimulus-related revenues. And while we see the bidding process quite slow, we do have quite a few government lab projects, which are awaiting budget approval.
Aisyah Noor: Perfect. Maybe one quick follow-up. In the past -- I saw the order growth. In the past, you would typically have between 3 to 6 months lag on orders to sales. So if I extrapolate your second quarter performance in the second half, what's stopping you from delivering a 5% type of sales growth performance in the second half? If you could just talk about your sales outlook for the second half this year specifically?
Tania Micki: We will have to grow by more or less that amount in order to be within the guidance -- potentially within the guidance range. And you're absolutely correct, we do have about, I would call it, 3 -- for some customized instruments up to 6 months, but more of a 3 months impact on the backlog. But again, it will very much depend still on how things evolve. And as you know, the situation is fairly volatile and unpredictable at this stage. I'm not talking about order growth, not -- what we have under control, we have under control. I'm talking more in terms of tariffs and this kind of impact that could potentially happen. At this stage, we do not see that. This is why we are keeping our guidance as it is.
Operator: Our next question comes from Gillis, Harry, Berenberg.
Harry MacKinnon Gillis: If I could just start on your largest customer, your sales assumptions include a moderate decline to flat. I just wanted to check that you're still confident in basically the destocking effect resolving by midyear and returning to growth in H2 for this customer?
Tania Micki: I mean the short answer is yes. As we mentioned, the sales declined as expected from the largest customer perspective, but we are meeting all delivery schedules and the orders have picked up in Q2 as we anticipated. So from that perspective, we are on track to meet the full year assumptions. And as a reminder, the full year '25 sales are projected to be a little bit lower to stable compared to the prior year.
Harry MacKinnon Gillis: Awesome. And then if I could just ask a follow-on to a previous question that was asked about the guidance. I appreciate there's different areas of uncertainty that you can't control. But given H1 organic revenue growth was basically near the low end of the low single-digit decline, is it fair to say you're tracking at least to the midpoint or above the midpoint given biopharma is going better than expected, you're starting to see some China stimulus and so on?
Monica Manotas: Yes. I mean we had the discussion around whether or not we would be ready to reduce the range of outcomes, and we chose not to do it because we still see the potential. And as we were saying -- before mentioned, a 5% growth scenario in the second half is doable with what we're seeing, and that would get us to the upper end of the range in the lower single-digit growth for the full year. But we do see enough uncertainties on the other side, like, for example, on the academic U.S. When you look at it from a sales perspective in our Life Sciences business, the impact was actually quite limited, and we came in much better than we thought, but we started to see that impact of the uncertainty in the order entry. Now we start to see that there starts to be some clarity there. So again, it is hard to predict where those customers are going to end up. So we felt there was enough uncertainty to maintain the range as it is, depending on what happens in the key areas that we highlighted in March that are still, I'd say, areas that drives the uncertainty. We will end up either in the low single-digit growth for the year.
Operator: Our next question comes from Jan Koch, Deutsche Bank.
Jan Koch: The first one is actually a clarification on your 2025 margin guidance based on what Maja was asking on FX. Using current spot rates and the tariff levels, would result in a margin range of roughly 15.5% to 16.5%, is that correct?
Tania Micki: If you take the minus 1% to the 17.5% to 18.5%, it would be 16.5% to 17.5%.
Jan Koch: And the minus 1% is just relating to currencies, I guess?
Tania Micki: Yes, that is correct. And we still are taking an average, of course, for the 12 months. So it includes the first 2, 3 months of higher FX rate. And then you have the lower range that is more or less since April, May.
Jan Koch: Okay. Got it. And then secondly, on 2026, can you give us an early indication of your market growth expectations for next year? Some of your U.S. life science peers have rebased expectations, which was taken well by the market.
Monica Manotas: Thanks for the question. I'd say it's a little bit too early, and I'd rather take a little bit of time to understand better our position in the various areas of the business. I mean we do believe that the market will see some stabilization in 2026, that's the expectation, but I'd like to see our positioning so we can ensure that we have the levels of investment aligned to the areas of growth and then come to a conclusion of what is our expected growth rate for 2026.
Operator: Our next question comes from Sebastian Vogel, UBS.
Sebastian Vogel: My first question would be focusing on the tariff side. In the press release, you talked about the additional mitigating actions to further reduce the effect of these tariffs. Does that mean that you have more in the pipeline already in the short term to see something in the second half that goes beyond the low single-digit to mid-single-digit offsetting factors? Or is the low single-digit to mid-single-digit offsetting factors pretty much what is -- what we can expect for this year?
Tania Micki: No, it's the low to mid-single digit that I would leave as the indication for the second half for this year.
Sebastian Vogel: Got it. And then on the EBITDA adjustment, in the -- somewhere in the back pages of the presentation, you are putting together on the restructuring, acquisition integration costs. Is there a chance to split the number into pieces?
Tania Micki: Yes, sure. I mean it's about 1/3, 1/3, 1/3. 1/3 is for restructuring of activities that we have still in the U.S. in the first half of the year, when we said that we are consolidating our U.S. R&D sites. So that's related to that. The other 1/3 is for S/4HANA, which now it's the last, I would say, or last. It's the final bucket, if you want, of those expenses that will not be capitalized. So starting as of May, June, most of the costs related to S/4HANA will be capitalized. We still will have some portion that we cannot, but they will be smaller. And then the other 1/3 is for legal fees, which are M&A related, IP related, et cetera. So they are truly exceptional costs or one-off costs, if you want.
Sebastian Vogel: And one follow-up, if I may. Does that mean given, as you said, the S/4HANA part might be falling away going forward, that going forward, this number might be also a bit lower? Or how should we think about that?
Tania Micki: From a P&L perspective, it should be lower because we will be capitalize most of it, yes.
Operator: [Operator Instructions] Our next question comes from Daniel Jelovcan, Zürcher Kantonalbank.
Daniel Jelovcan: Just 2 questions. The first one, also a clarification. Did I understood it correctly that based on today's tariffs, 39%, the impact is in the low teens on a 12-month basis or just for the rest of this year, just to be very sure?
Monica Manotas: No, that would be just for the rest of the year. It's really the total, just that the majority of it sits in H2 anyways.
Daniel Jelovcan: It's H2? And that's without any price increase, which you could probably initiate on the transfer price or whatever, correct?
Monica Manotas: That's correct. So that is the estimation of the impact of the tariffs itself. And then kind of on the side, we're talking about what are the mitigation impacts, which we are estimating the annualized level to be kind of low to mid-single-digit millions of Swiss francs in the examples that we talked about. And as I mentioned before, we are continuing to look for additional projects to mitigate, but those will take a little bit of time. This is why Tania had mentioned before that the impact of those will likely be seen more in 2026.
Daniel Jelovcan: And the second question is, what makes you confident that on Slide 18, you put the green arrow to the upside at the big biopharma. And especially biopharma, I got so many conversations with people. Everybody is puzzled about, especially MFN. And in this environment, probably biopharma is also quite on the brake for new spending. So do you have any evidence in your order book? Or what makes you so optimistic? And before I leave Monica, I wish you all the best, by the way, in your new job.
Monica Manotas: Thank you, Daniel. I appreciate that. Yes. So maybe let me make a general comment of what we're seeing in the biopharma space. So -- and I'll talk specifically about what we see in the Life Sciences business because this is the business that's much more targeting those customers. So in the first half, we ended up with flat numbers. And I see that as a positive in a way because we see that the customers are investing. It's just that the areas of investment are quite focused, so you just have to find what those are. I think that when you think about that segment, I mean, the fundamentals are still there. They are going through some changes for sure. And the concept of automation becomes even more interesting for them in a situation where they need to be careful about where to spend their dollars. So clearly, I mean, as we think about the discovery side of R&D, it's been something that where they have been careful in terms of the investment. So we do see that what we bring to the table around automation resonates with them because as they use more and more of these new technologies like NGS, they need to have much more output on the sample prep side in order to be able to feed their machines and kind of the downstream of the process. So I think for us, as long as we stay close to the customers, understand where they're putting their francs of investment and ensuring they understand the return that they can get out of automation investments we see the opportunity. But of course, there's a risk, which is why we're kind of keeping the 2 sides of the equation within our outlook.
Operator: Our next question comes from Le Louet, Delphine, Bernstein.
Delphine Le Louet: Nice meeting you, Monica. Two questions on my side. The first one deals with the Veya launch and if we can get any update regarding, obviously, the client response and also relative to the order intake -- yes, sorry.
Monica Manotas: Thank you. I'll take that one. So -- and it's nice to meet you as well. So I'm very excited with what I see on the Veya side. If you think about it, we are in early stages because for this type of instruments, there is usually a process of a couple of months for customers to kind of go through and get funding approvals. So we launched in Q1. So we -- I see Q1 was like launch and training of our teams. Q2 was really the first quarter that we were out there in the market. And in May, we started to see the first orders coming in. The funnel is building very nicely. So I'm excited to see the response that we're seeing in the customers. And it gives us a nice option. We're thinking about when customers want to switch out from the EVO, they have Veya as an alternative as well as the Fluent platform. So it just kind of adds to the portfolio quite nicely, and we see that the customers are excited to see that option.
Delphine Le Louet: Okay. All right. Second question deals more with the margin and the margin evolution, especially when it comes to the gross margin and the change to Malaysia. So how should we think about the ramp-up in Penang when it comes to yield run rate? There's been a substantial increase into the gross margins clearly visible into the first half of the year. So how should we think about a more sustainable long-term increase when it comes to the EBIT margin? And so how should we think about really the manufacturing and ramp-up in that context?
Tania Micki: So thank you, Delphine, for the question. I mean from the ramp-up -- and I assume you're mainly mentioning the Cavro -- the move of the Cavro pumps to Malaysia. I mean, there, we basically have achieved our -- the savings that we were planning for. So for the first half of the year, that was about CHF 3 million out of the CHF 5 million that we have announced at the time. Now of course, the full impact is coming also with volume because it was related to that. And at the time when we were planning on the savings, the volumes of the Cavro pumps were much higher. Having said that, again, we do see those savings materializing. Part of it is offsetting the lower volume and part is visible also in the margins. So there, we actually have already delivered on what we were expecting. The other part of what we are doing now in the -- in Q1, we initiated that. I mean, I mentioned the U.S. -- the R&D site consolidation, but we are also moving some of the remaining pumps to the robotics specifically from U.S. to Malaysia as well. The more or less good thing is that we are still having the supply chain from U.S. So in fact, that helps at the end of the day. And because we are, of course, assuming higher U.S. content in those products. And then from the margin perspective, I mean, this is part of it, of course, from the improvement. Then the other part, as we mentioned, is also related to product mix. And that's also where you see that we have a little bit lower sales on the Paramit side and a little bit higher sales on the legacy. So that's also an impact as well. So it's a combination of different things, improvement, cost reduction, efficiencies and some of the product mix.
Martin Brandle: With that, we would like to conclude today's call. I know we have received additional questions coming through the form on the web. Screening through, I've seen we answered probably most of them as well here on the call. If your questions were not answered, I will make sure that we will respond during the course of the day by e-mail. With that, thank you very much for your participation, and we wish you a great day.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.